Operator: Good morning, ladies and gentlemen, and thank you for waiting. At this time, we would like to welcome everyone to Adecoagro's Fourth Quarter 2020 Results Conference Call. Today with us, we have Mr. Mariano Bosch, CEO; Mr. Charlie Boero Hughes, CFO; and Mr. Juan Ignacio Galleano, Investor Relations Manager. We would like to inform you that this event is being recorded. [Operator Instructions]
 Before proceeding, let me mention that forward-looking statements are based on the beliefs and assumptions of Adecoagro's management and on information currently available to the company. They involve risks, uncertainties and assumptions because they relate to future events and, therefore, depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions and other operating factors could also affect the future results of Adecoagro and could cause results to differ materially from those expressed in such forward-looking statements. 
 Now I'll turn the conference over to Mr. Mariano Bosch, CEO. Mr. Bosch, you may begin your conference. 
Mariano Bosch: Good morning, and thank you for joining Adecoagro's fourth quarter results conference.
 2020 was an atypical year due to the global impact of the COVID-19. Since the pandemic was declared, we immediately prepared safety measures to mitigate the eventual risk of being affected by the disease and prevent an uncontrolled spread of the virus throughout our operations.
 We provided a safe environment for our employees and contractors, implementing safety measures and developing protocols that allowed us to maintain our facilities 100% operational. It is because of this that we achieved very good operational and financial results even in such challenging times. And once again, we prove that being low-cost producers and focusing on efficiencies definitively pays off.
 In our Sugar, Ethanol and Energy business, the impact of the pandemic caused a decrease in the prices and demand for ethanol, starting in the second quarter of 2020. In light of these factors, we rapidly shifted our strategy to maximize sugar production. We slowed down our crushing pace, implemented a cost reduction plan and revised our CapEx plan. As signs of a partial recovery started to emerge, we accelerated our crushing pace and finally concluded the year with 11.1 million tons crushed, 0.3 million tons higher than during 2019.
 A very relevant aspect of our production system is the high flexibility. We have to switch from producing sugar to ethanol and vice versa. This allowed us to triple the amount of sugar we produced compared to 2019 and to increase our relative production of anhydrous ethanol to capture the premium prices. These were decisions we took on a weekly basis given such a changing and unstable environment.
 Having the ability to change directions in such a short period of time constitutes a very important competitive advantage. As you know, having a sustainable production model is part of our DNA. Thanks to this, we obtained one of the highest costs under the RenovaBio program and benefited from an additional cash generation of almost $3 million through the sale of CBios in 2020. We are optimistic about the program's consolidation. And we will continue to increase the sustainability of our operations to keep on benefiting from this additional source of income.
 To conclude on our Sugar and Ethanol business and because of all these things I'm mentioning, we ended up 2020 with a cash cost of $0.079 per pound. That is 13% lower than the previous year.
 Farming and Land Transformation business. Our adjusted EBITDA during the year was 50% higher year-over-year. This is a clear proof of the consolidation of the 5-year plan investments we made across our crops, rice and dairy businesses, together with our focus on efficiencies.
 In 2020, we completed the harvest of almost 1 billion tons of rice and grains, transporting our production across 10 provinces and reaching customers across the world. We were able to achieve this and overcome the logistical challenges caused by the mandatory lockdown of our people and the work we did alongside with public agencies. We have once again started harvesting activities for rice and some of our crops. While soybean, corn and peanuts are in the period of yield definition.
 In our dairy operations, we continue ramping up our industrial facilities and achieving high productivity indicators even as our cow herd increases.
 In terms of land sale, the active demand for farmland in Argentina allowed us to conduct an additional farm sale in December at a significant premium to the Cushman & Wakefield's independent valuation. 
 As anticipated in our past releases, 2020 marks a turning point for us. We became free cash flow positive for the first time since we started our 5-year plan in 2017, generating over $50 million. The expansion of our cluster in sugar and ethanol business, especially in terms of cane availability, the acquisition of our peanuts and sunflower processing facilities, the investments in our rice business both at the farm and industry level and the acquisition of the 2 milking processing facilities are part of the investments we did during the past year. They are all generating returns on invested capital in line or above our expectations, ranging from 20% to 100%. The investment in our peanut processing facility, to name one example, paid itself back in less than 1 year.
 Now that the results of our bigger, more efficient and vertically integrated operations are in front of us and that our 5-year plan is in its final stages, we are confident that cash flow generation will continue to increase in the upcoming years. Moreover, commodity prices have been increasing. Our cane availability for 2021 is good. And our debt level is underweight and well-structured in the long term. All of this places us in a good position to distribute results with our shareholders. And as you can see, we have already started doing it through our buyback program. 
 Lastly, I would like to express my gratitude to all of our operational and management teams. We are very proud of the commitment shown during these difficult times of the hard work and continued support. I am convinced that we have the right people and that we are following the right strategy to generate good returns and value for our existing shareholders. As always, we need to remain focused on being low-cost producers, enhancing our efficiencies and taking care of our people. 
 Now I will let Charlie walk you through the numbers of the year. 
Carlos Hughes: Thank you, Mariano. Good morning, everyone. Let's start on Page 4 with a brief analysis on the rains in Mato Grosso do Sul. As seen on the top chart, rains in our cluster during the fourth quarter of 2020 were 10.7% below the 10-year average but 12.8% higher compared to the fourth quarter of 2019. Rainfalls were distributed throughout the quarter and was especially concentrated towards the end of the December, resulting in interruptions in our crushing activities, as can be seen in the following slide.
 I would like to briefly comment on the weather in the Central South region of Brazil. The region, which accounts for approximately 85% of Brazil's sugarcane production, experienced dry weather for a prolonged period of time last year. This forced mills to shut down operations earlier than usual as they didn't have enough cane to crush. For the same reason, the beginning of this year's harvest season will probably be delayed, resulting in a longer than anticipated in the harvest period. 
 It is worth highlighting that we will continue to crush cane year-round and produce both sugar and ethanol during the interharvest period. This is so because we are based in a region that has a different weather dynamic and because we operate under a continuous harvesting model.
 Let's continue with Slide 5, where I would like to discuss our sugarcane crushing. During the fourth quarter of 2020, a total of 2.5 million tons of sugarcane were crushed, 40.1% or 700,000 tons higher than the same period of last year despite the reduction in effective milling days. Indeed, in an attempt to make up for the slowdown in crushing activities during the second quarter and in order to profit from high prices, we decided to accelerate milling operations. This was evidenced by the astonishing 57.6% increase in milling per day. Needless to say, it was the greater cane availability, coupled with enhanced efficiencies at the industry level, that made it possible. 
 On a year-to-date basis, a total of 11.1 million tons of sugarcane were crushed. This represents an increase of 2.4% compared to the same period of last year. Again, this speaks for the highly efficient and coordinated work during the second half of the year. 
 Please jump to Page 6, where I would like to walk you through our agricultural productivity. During the quarter, sugarcane yields reached 82 tons per hectare, 20.3% higher compared to the fourth quarter of 2019. The year-over-year gap is fully explained by the negative impact of the adverse weather conditions on the 2019 yield as most of the harvested area was cane below optimum growth stage.
 TRS content was 137 kilos per ton in the fourth quarter of 2020 and 132 kilograms per ton in 2020, 5.5% and 1.1% lower compared to the same period of last year. Again, the reason for the decrease is explained by the dry weather conditions in 2019, which led to higher TRS content. The combination of these 2 effects resulted in TRS production per hectare of 11.3 tons in the fourth quarter of 2020, 13.6% higher year-over-year. Year-to-date, yields reached 79 tons per hectare and TRS content 132 kilograms per ton, resulting in a TRS production per hectare of 10.4 tons, 3.5% higher year-over-year. 
 Let's move ahead to Slide 7, where I would like to discuss our production mix. As already said, in light of the improved outlook on prices and in order to take advantage of the favorable weather and cane availability, our strategy during the quarter was to maximize crushing. As you can see in the top-left chart, during the fourth quarter of 2020, sugar traded at a premium of 14.3% and 3.9% to hydrous and anhydrous ethanol, which traded at $0.125 per pound and $0.14 per pound, respectively. As a result, our efforts were focused on maximizing sugar, the product with the highest marginal contribution. Indeed, we operated our sugar kitchen at full capacity throughout the quarter, diverting as much as 50% of TRS to sugar production compared to 6% during the same period of last year.
 On a full year basis, we maximized sugar production in 44% compared to 15% during 2019, despite a first quarter of full ethanol maximization prior to the pandemic. I would like to insist that this high degree in flexibility constitutes one of our most important competitive advantages since it allow us to make a more efficient use of our fixed assets and sell the product with the highest marginal contribution. 
 In terms of ethanol, during the quarter, we diverted 50% of TRS to the ethanol distillery compared to 94% during the same period of last year, when our strategy was to maximize this product. Year-to-date, sugar accounted for 36.9% of total EBITDA generation in the Sugar, Ethanol and Energy business, considering other operating income for items higher compared to 2019. Again, this is a clear evidence of our capacity to shift production from one product to the other. 
 Let's please turn to Slide 8, where I would like to discuss quarterly results. As you can see on the top-left chart, ethanol sales volumes decreased by 36.1% year-over-year. This is fully explained by our strategy to maximize sugar production due to the lagging impact of the pandemic on ethanol prices and demand, in particular, during the first semester of the year. During 2020, hydrous and anhydrous ethanol traded on average at sugar equivalent prices of $0.12 per pound and $0.1301 per pound, 6.7% discount and 1.3% premium to sugar, respectively. 
 Average selling prices for ethanol were higher measured in reais but lower in U.S. dollars, standing at $0.132 per pound in sugar equivalent, representing a 36.1% year-over-year reduction. On account of the lower selling volumes and lower average prices in U.S. dollars, net ethanol sales during the year amounted to $180.6 million, 46.4% lower year-over-year.
 In spite of the lower results, I would like to mention once again that ethanol prices experienced a recovery throughout the second half of the year due to higher gasoline prices, increase in fuel demand and lower supply, thus building a positive scenario for the upcoming months.
 In the case of energy, year-to-date net sales amounted to $36.9 million, marking a 31.3% decrease compared to 2019 driven by a 5.3% decrease in volume and a 27.5% decrease in average selling prices measured in U.S. dollars.
 Net sales of sugar increased by 72.7% in 2020 compared to the previous year, reaching $167.8 million. Sales volumes increased by 89.9% year-over-year, led by an increase in production mix and volume, which fully offset the 9.1% decrease in average selling prices measured in U.S. dollars despite an increase in prices measured in reais. Although sugar is traded in U.S. dollars, the depreciation of the Brazilian real does have an impact on prices due to the fact that our functioning currency is in reais and our reporting currency in U.S. dollars.
 In addition, I would like to comment that during 2020, we started exporting certified organic sugar produced at our UMA mill. Certification is required by the European market and is only granted after having produced organic sugar for a period of 3 years. We successfully exported approximately 5,000 tons of organic sugar at an average price of $0.25 per pound, capturing a significant premium over VHP sugar and plan on doubling the exported figure in 2021. In this way, we not only have a highly efficient cluster model in place but we also continue to add value to UMA. 
 Let's move to Slide 9, where I would like to explain our total cost of production. Total cost of production depicts on a cash basis how much it costs us to produce 1 pound of sugar and ethanol in sugar equivalent. Maintenance CapEx is included in the calculation since it's a recurring investment necessary to maintain the productivity of the sugarcane implantation. As we are calculating sugar and ethanol cost, energy is deemed by a by-product and thus deducted from total costs. As for the tax recovery line, it includes the ICMS tax incentive that the state of Mato Grosso do Sul granted us until 2032.
 As shown in the table, total cash costs in 2020 marked a 12.7% reduction on a per unit basis, reaching $0.079 per pound of sugar equivalent. This decrease was explained by a 29% reduction in total production costs driven by higher crushing volume, which allowed us to dilute fixed costs, coupled with the year-over-year depreciation of the Brazilian real, which further contributed to reduced unit costs measured in U.S. dollars.
 Additionally, enhanced agricultural efficiencies, lower industrial costs due to reduced third-party services and temporary suspension of wood chips purchases also had a positive impact on production costs. These positive effects were partially offset by the higher cost of third-party cane, both as a result of higher purchased volume and higher Consecana prices. At the same time, the maximization of sugar production led to an increase in SG&A expenses as well as a reduction in PIS/COFINS reimbursements. 
 Finally, to conclude with the Sugar, Ethanol and Energy business, please turn to Slide 10, where I would like to discuss financial performance. Adjusted EBITDA during the fourth quarter of 2020 was $80.3 million, $25.2 million or 45.6% higher compared to the fourth quarter of 2019. This increase was mostly explained by the $19.9 million higher result derived from the mark-to-market of our biological assets, partially offset by a loss derived from the mark-to-market of our commodity hedge position and an increase in SG&A on account of higher freight and farming costs due to higher sugar sales. On a full year basis, results were impacted by the effects of the pandemic. However, adjusted EBITDA amounted to $253.1 million, in line with last year.
 I would now like to move on to the Farming business. Please direct your attention to Slide 12. As of today, Adecoagro finished its planting activities for the 2020/'21 harvest year. We planted 262,000 hectares, 10% higher than the previous harvest season. This increase is expected to come primarily from a greater leased area. So far, rents have been adequate in average. However, we continue to closely monitor water requirements as we are going through the critical phase in the development of most of the crops. 
 Let's move to Page 13, where I would like to walk you through the financial performance of our Farming and Land Transformation businesses. In 2020, adjusted EBITDA in the Farming and Land Transformation businesses reached $107.7 million, $35.9 million or 50.1% higher year-over-year. The decrease in financial performance is mostly explained by the $28.3 million higher result generated by the Farming business, although the Land Transformation business contributed with a $7.6 million increase following the completion of 2 land sales during 2020.
 The Crops business generated an adjusted EBITDA of $35.7 million during 2020, 39.1% or $10 million higher compared to 2019. This is mainly explained by a $17 million gain in the mark-to-market of our biological asset and our grain inventory as a consequence of the increase in commodity prices, the higher planted area and the increase in yields for most of our crops; and by a cost dilution in U.S. dollars on account of enhanced efficiencies and the depreciation of the Argentine peso. These results were partially offset by a $10.5 million loss in the mark-to-market of our commodity hedge position.
 The Rice business accounted for an increase in adjusted EBITDA of 67.8% or $13.7 million compared to the previous year, reaching $34.1 million in 2020. This was mostly driven by a $6.3 million gain in the mark-to-market of our biologic assets explained by the increase in commodity prices, coupled with an increase in area and yields as a result of recent investments which enhanced productivity; and a $6.9 million reduction in selling expenses due to a 4% reduction in export taxes and the cost dilution effect as a result of the depreciation of the Argentine peso during 2020. 
 The Dairy business was responsible for an increase in adjusted EBITDA of 21.3% and or $3.8 million compared to last year, totaling $18.2 million during 2020. This increase was driven by our enhanced efficiencies at the farm and the industry level led by our continuous focus on increasing productivity in every stage of our value chain; our production flexibility, which enabled us to capture the increase in demand in the domestic market, driven by COVID-19 pandemic; and an increase in gross sales, thanks to a 58.7% increase in sales volumes, partially due to the 3-month gap in 2019's industrial operations. This increase was partially offset by higher costs and expenses on account of the larger volume. 
 Let's now turn to Page 15, which shows the evolution of Adecoagro's consolidated main figures for the year. I would like to highlight the fact that despite all the challenges, we managed to outperform both from an operational and financial perspective.
 Consolidated adjusted EBITDA totaled $342 million, 12.1% or $37 million year-over-year. As previously explained, the good results in Farming and Land Transformation explained the increase. At the same time, 2020 marked a milestone for the company as it was the first year that we generated positive free cash flow following the initiation of our 5-year plan back in 2017.
 Turn now to Slide 16 to take a look at our net debt position. As you may see in the bottom-left chart, our net debt as of December 31, 2020, reached $635 million, $33 million or 4.6% lower than the previous quarter, driven by $122.7 million increase in cash and equivalents, which fully offset the higher gross debt. The higher cash equivalents was mainly explained by our strategy to raise long-term debt during the second half of the year with the idea to cancel short-term debt during the first semester of 2021. This will result in a significant improvement in our debt profile while substantially reducing capital payments for the year. 
 On a year-over-year basis, net debt in the fourth quarter of 2020 was 6.4% or $43.2 million lower compared to the fourth quarter of 2019 in spite of gross debt being flat year-over-year. This is explained by the 15.8% higher cash and equivalents driven by a positive free cash flow during the last 12 months and by the short-term working capital lines we raised throughout the year as part of our risk management program.
 The fourth quarter of 2019, in turn, reflects the inflow from the insurance of the CRA bond in Brazil that took place by 2019 year-end. We believe that our balance sheet is in a healthy position, not only based on the adequate overall debt levels but also on the term of our indebtedness with approximately 78% having a long-term tenor.
 As of December 31, 2020, both our net debt ratio as well as our liquidity ratio improved compared to the previous quarter. Indeed, our net debt ratio reached 1.86x, 18.9% lower than the third quarter of 2020 and 16.4% lower year-over-year.
 At the same time, our liquidity ratio, which is calculated as cash and equivalents plus marketable inventories divided by short-term debt, reached 2.62x compared to 1.49x during the second quarter. This ratio shows the full capacity of the company to repay short-term debt with cash balance without raising external capital. 
 Thank you very much for your time. We are now open to questions. 
Operator: [Operator Instructions] Today's first question comes from Pedro Soares with BTG Pactual. 
Pedro Soares: I have a couple of questions here on the Sugar and Ethanol business and another one regarding farmland. First, now with the end of the investment cycle that you guys delivered in the past years, what should we expect for the crushing levels for the year, where actually it was [ down 21 ] [indiscernible] that's [ down 22 ] crops a year? It would be helpful to have a color on that if you could expect it to increase in the next harvest.
 And also in the -- regarding the organic sugar market, what's the size of this market for you guys? And what else -- what should we expect as well in terms of how much you could capture in terms of value for -- in the organic segment? It would be nice also to hear.
 The last one, regarding farmland sales. Now with this recent spike, especially in your soft commodities, could we see or expect you to sell more land and for this to accelerate? Like in previous years that this happened also when inflation picked up in Argentina, this was the case. So if you could also touch base a little bit on this, it would be helpful to us. 
Mariano Bosch: Pedro, thank you very much for your question. On sugar and ethanol space, I will ask Renato to answer your question and then I can complement. And then I will go through the -- your farmland question.
 Renato, do you want to answer Pedro's question? 
Renato Pereira: Okay. Thank you, Pedro. So we start with your organic question. We have been producing organic sugar in UMA for 4 years. This year is the first year that we have exported organic sugar because we need 3 years of production to start selling to European and U.S. market. We think that UMA is the right location to do these projects because of the location of UMA, which is very close to the market and also to the [indiscernible] of exports. And also the weather in UMA is very well defined. So we think the conditions to produce organic sugar there is very good.
 The scale of our projects is about 3,000 hectares, which we will be able to produce 14,000 tons of sugar, organic sugar. We don't think that we can grow more than that because in this particular area, we have been able to use all the byproducts that we produce, vinasse, filter cake, fly ash. So if you grow further, we have to acquire our organic fertilizer from other areas, which would make the sugar cane -- the cost to produce sugarcane very high. So we should -- that's the site that we think is appropriate for our model.
 The size of the market, the global market is about 400,000 tons of sugar. And so in fact, it's a small market, it's a niche. And the growth of this market is about 10% per year.
 And regarding the other question about sugar and ethanol, I couldn't understand very well. If you could repeat it, I appreciate. 
Pedro Soares: Sure. It's actually regarding the crushing levels expected for this next harvest year. Should we expect you guys to crush more cane? 
Renato Pereira: Okay. So for the coming year -- for the current year, sorry, we expect to crush around 10% more than we did last year. As Charlie mentioned before, the weather in Mato Grosso do Sul is very good in the second semester. We have very good range in key points of last year and this year.
 So for example, in general, we have more than 400 millimeters of rain, which was very good. And that's why we are crushing a lot in the first quarter, taking advantage of the prices of both sugar and ethanol that are very high.
 We expect to reach the 12.5 million tons of sugarcane, which is our goal in our 5-year plan in 2023. I think the good news is that we have already leased all the land that we need. So it's just a matter of planting those lands and to be ready to crush that. 
Mariano Bosch: Thank you, Renato. Then Pedro, to answer your question about the farmland, I would say that since September of last year or since the end of last year, there was an increase in the demand of land in Brazil, Uruguay and Argentina. So there was more demand also for our own farmland. And as you know and as we've been explaining many times, selling and buying land is an illiquid market, where we find the right buyer and it takes time to find the right buyer for our already transformed farms.
 So that's what we did there back in December. We do expect to continue to do it within the same level. But -- that would be the general answer to your question. 
Operator: Our next question today comes from Lucas Ferreira with JPMorgan. 
Lucas Ferreira: Two questions regarding capital allocation. The first one is a quite simple one. If you can remind us the CapEx budget for this year, if that was revised up or not because of the outlook on prices.
 Second question is since you now finished the growth -- your growth cycle, probably you'll be paying more dividends and doing buybacks. But I wanted to think about more strategically thinking. Let's say, a couple of years from now, what are the growth opportunities you foresee for the company? Would you still be investing in Argentina? Do you see opportunities in acquisitions or expansion CapEx in Argentina? If yes, where exactly in which segment, which market?
 The same question for Brazil, what are the growth perspectives for the operation in Brazil? Would you consider M&A or organic growth? Can you discuss this with us a little bit more? 
Mariano Bosch: Lucas, thank you for your question. I will try to answer first on a broad way. And then we can get into more details. I would try to include all the different parts of your questions. 
 I would like to point out the -- as you mentioned, the cash flow positive that since 2017, that is -- wasn't there anymore. So the important point here is that all the investments that we did are currently generating very attractive returns. And because of this consolidation is that we are generating this free cash flow positive.
 This marks the beginning of a path where we start to generate cash in a structural way and should result on a significant increase in our cash generation in the upcoming years. In addition, our debt level is structured in the long term and reaching the adequate levels. This means that we will have enough cash for both to distribute results with our shareholders and continue to create value by enhancing our operations.
 Our first priority is to distribute a relevant portion of this cash with our shareholders. In fact, we have already started to do this via our buyback program. Only during the first month of 2021, we have already purchased close to 1 million shares. And we are also analyzing attractive opportunities both in the farming and in the sugar business, as you were asking specifically. 
 All these opportunities are synergized well with our current operations and have the potential to make them more efficient as a whole operation. And all of these things that we are analyzing offers IRRs above 30%. So that's basically how we are thinking about this capital allocation question that you were asking.
 And specifically in terms of the CapEx of '21 that you were asking, I would consider that it's in the same lines that what happened in 2020. Because in 2020, when we revised some of the CapEx, as we were mentioning, we delayed some of the 5-year plan CapEx that we had already planned. 
Lucas Ferreira: If I may, just a quick follow-up. This potential high-return projects you're talking about, are -- what's the size of those? I mean could we expect something like a major, like a significant increase in your CapEx going forward? Or do you see those as more like a marginal -- my point is do you see any large CapEx or big CapEx acuity will impair your dividend payments in the next few years? So that would be my question. 
Mariano Bosch: No. The important thing is what I was just mentioning, and I also mentioned in the introduction, is that our priority is to distribute with shareholders. So including that is that we are open for different projects with attractive IRRs. All these projects can include M&A or can include organic growth or can include changing one machine that makes us much more profitable so that a small investment has a specific IRR because of its marginal contribution of 50% or 70%.
 So those are all the different projects that we can do but always with this idea that we have a priority, that is, distributing with shareholders also. So that's how we are approaching on all this thinking of the capital allocation.
 So to be more specific, I don't see a huge CapEx coming online. And all these different CapEx also takes time because they imply improving on the operations on the day-to-day, so are all things that cannot be done from one day to another. 
Operator: And today's next question comes from Rodrigo Almeida with Santander. 
Rodrigo Reis de Almeida: Congratulations on the impressive results and the successful implementation of the CapEx plan as well.
 My first question here is related to the sugar and ethanol business and more specifically to the expansion in harvest scenario. I think Renato already mentioned that you've already leased the area that you need. But I wanted to understand a little bit more on the pace of planting and harvesting on this area through 2023 just so we can understand a little bit better the sugarcane availability year by year.
 And also, just out of curiosity here, with the higher sugar, soy, corn prices, is there any way that the lease expenses could increase? Or do you have everything very well, say, wrapped up so that these changes in prices do not affect your contracts? And just also out of curiosity, if you were to lease more land right now, do you think you'd have a higher cost than you did before just because of the higher prices you saw throughout the year?
 And then the second topic here that I wanted to touch a little bit is on the buyback program. As far as I remember, this program was extended into September of last year. But then maybe I missed something. But the program is now -- just wanted to understand until when the program is going to be valid? And what's the size of the program that is active right now? Those are my questions. 
Mariano Bosch: I'm going to start from the end of your question, Rodrigo. Thank you for them.
 On the buyback program, the buyback program is 5% what has been approved by the Board and is renewed every year. And if we reach that level, it can also be opened by the Board. So this is a Board decision that is -- always can be taken. Today, what is on place is 5% product.
 Then going to your question about the costs, the different costs and leasing the land and with this increase in commodity prices. Yes, it's clear. There is an increase in costs. But the increase in the revenues because of this increase in prices is higher than the increase of costs. So the margins improve even with this increase in costs.
 Of course, we are working with that. We have several part of the gain that has been leased for 2 years for 2 cycles. That means 14 years. So that is not going to change. But there is a portion of the leases that is due this year, that when we renew those leases, there are some small increases. And that's part of the negotiation that we continue to do every day and that's part of what we do.
 But if we take your question, we see what you are seeing and it's part of our reality. But at the end, the margins, of course, are better with these higher prices. 
 And finally, on the expansion of the harvesting area, I couldn't understand exactly well. Specifically on the Farming and Land Transformation, there is an increase of 10%, where we're increasing more profitable growth that, in this case, are sunflower, peanuts and rice.
 But on the sugarcane question, I couldn't understand exactly what was your question. We have already leased all the land to continue to finalize the 13.2 million tons of total crushing that we will reach in 2022 that Renato was talking about. But I couldn't understand exactly what was that part of your question. 
Rodrigo Reis de Almeida: Yes. Look, I just wanted to understand sort of the pace of the planting and harvesting, how much we can expect in more sugarcane availability in 2021, '22 and then we reach the full capacity. Just -- I just want to understand the year-by-year pace. 
Mariano Bosch: Renato, do you want to answer more specifically? Of course, always, it depends on the climate of every year. And as you've seen, that is changing. But we have our own projection that is between 5% to 10% growth every year. 
Renato Pereira: Yes. We still need to plant 12,000 hectares of the expansion planting. And we think that we will increase this year 10% compared to last year, then another 10% compared to this year. And then finally, in 2023, we will reach the 12.5 million tons in the cluster. And we have to add the 1.2 million tons of UMA to get the total crushing capacity. 
Operator: And our next question today comes from Santhosh Seshadri with HSBC. 
Santhosh Seshadri: Remember, in one of your presentation a couple of years ago, you mentioned that your EBITDA could reach well about USD 400 million by the end of your 5-year CapEx plan. I know that's a bit dated presentation. But I'm just wondering if we were to refresh those estimates to reflect the current commodity price increases, which are obviously much higher than it was at the time of presentation, do you think we'll still be able to generate EBITDA of about $400 million in 2021? Or is there any other factor that is necessary to achieving that number? I'm basically trying to understand the possible scenarios for 2021 earnings and underlying drivers. 
Mariano Bosch: Thank you, Santhosh, for your question. And thank you for participating in the call. Of course, we don't give guidance as EBITDA guidance. But you can -- clearly, as you were making your own calculations with our crushing volumes and what we are going to be producing, and subject to all these climatic events that our business has we can reach those levels that you are talking about, the EBITDA levels. But it's something that you can do your own calculations and work with the models. And it's clear that it's something that we cannot [ take pre-COVID ] guidance but it's -- that we could easily reach. 
Santhosh Seshadri: I have another question. So if you look at ethanol prices in Brazil, it has seen a strong rally in February 2021. So assuming this momentum would continue, do you think you will be producing more ethanol instead of sugar for 2021? So if you can give some numbers on the production mix between sugar and ethanol, that will be helpful. 
Mariano Bosch: Yes, that's an excellent question. Today, in this exact moment, we are, again, maximizing ethanol. But that's something that we are changing every week. So that's the great competitive advantage that we have as a company. And that's the great flexibility that we have. So every week, we know what is it that we are going to be maximizing.
 So we've been maximizing sugar for many months. Now that has just changed. And that could change next week or -- that's one of the great advantages of our whole production system, not only the asset but the whole production system.
 And the other important thing I would like to point out with your question is that we are currently producing ethanol, that in general, nobody is producing ethanol today. But because of our continuous harvest and our model of harvesting all the year round, in this moment, we are taking advantage of all the excellent prices of ethanol. 
Santhosh Seshadri: And my last question is on your yield expectation in your crop business. Since your nearing harvest for most of the crops, can you give some sense on the potential yield impact due to the dry weather in Argentina? 
Mariano Bosch: Okay. Good question. For the whole sugarcane operation, we are in an excellent situation in terms of climate. There has been a relatively right period for the Center South region. We are in the Mato Grosso do Sul region. And we are with an excellent sugarcane plantation. That is for the whole sugarcane operation.
 And then for the total farming in Argentina and Uruguay, there has been a dry period in the last 15 days. And soybean, corn and peanuts are in the middle of its yield definition. I would say that we have already done a portion but we are still subject to climatic events. And this dry period can continue or not. So there is still variability of those 3 crops.
 But then we have the other crops like rice and sunflower that are important for us today, that are having very good yields in this scenario or in this situation of -- in this climatic situation. And we are in the middle of the harvest of those 2 crops that are yielding pretty well and some way above our projections.
 So that talks about the amount of different crops that -- how we minimize our risk because of having all these different crops and climatic production regions. 
Operator: And ladies and gentlemen, this concludes our question-and-answer session. I'd like to turn the conference back over to Mr. Bosch for closing remarks. 
Mariano Bosch: Okay. I would like to use this opportunity to reiterate my gratitude to all our employees, contractors and stakeholders for their hard work and commitment during such hectic times. 
 2020 was a very difficult year, full of challenges that tested the limits of organization and adaptability against an unexpected event. However, our investments, our devotion to efficiency in each process across the different business lines of businesses and our low-cost production model have proven us right one more time. We closed the year with attractive returns in every segment, resulting in strong consolidated figures.
 But the challenges are not over yet. 2021 is already showing us signs of difficulties that we shall have to overcome. We are confident that we have the right people and strategy to continue generating value for our shareholders and obtaining attractive results. 
 Thank you very much. And see you in our upcoming events. 
Operator: Thank you. This concludes today's conference. You may now disconnect your lines and have a wonderful day.